Operator: Good morning, ladies and gentlemen, and welcome to the Freehold Royalties Limited 2020 Fourth Quarter and Year-End 2020 Conference Call. Please be advised that certain statements on this call constitute forward-looking information. All statements other than those of historical facts may be forward-looking and we caution the listener. I will now pass the call over to David Spyker, Chief Executive Officer of Freehold. Please go ahead, sir.
David Spyker: Thank you. And good morning, and thanks everyone for joining us. We had a great quarter and we're looking forward to sharing it with you this morning. On the call with me today are Dave Hendry, our CFO; Rob King, our VP, Business Development; and Matt Donohue, our Manager of Investor Relations and Capital Markets. 2020 was a significant year for Freehold. We undertook a number of key initiatives to underpin the long-term sustainability of our business, and really to reinforce Freehold identity as a lower risk income vehicle for our shareholders. This was accomplished despite the challenging backdrop of COVID-19 and the sharp decline in oil prices. To start this morning, I would like to talk about the dividend increase and then we'll focus on excellent operational performance that we've had. In conjunction with projecting a 10% to 15% production growth over 2020, we will be increasing our dividend by 50% from $0.02 per share to $0.03 per share, starting in April to shareholders of record on March 31. This healthy dividend increase represents a measured approach in moving the dividend upward toward our long-term 60% to 80% payout ratio objective. The stepwise approach takes into consideration that despite the improvement in the commodity price outlook, there still remains a tenuous supply demand balanced with uncertainty on the resolve of OPEC+ to manage the pace of bringing incremental production to market and uncertainty on the ultimate pace and sustainability of demand recovery as COVID-19 vaccination initiatives are well underway. We also see this as an opportunity to delever our balance sheet with free cash flow after dividends, being directed to further reduce our debt, retaining financial flexibility to do further high quality acquisition work. Our team worked hard last year to identify acquisition opportunities in the bottom of the price cycle. And in November, we announced the acquisition of that diversified U.S. royalty package, and that really solidified our position as the only publicly traded North American focused oil and gas royalty company. The $74 million acquisition closed in early January of this year and provided us with exposure to 400,000 gross drilling unit acres of mineral title lands and overriding royalty interests across 12 basins in eight states, predominantly weighted towards the activity-rich Permian and Eagle Ford basins. The acquisition not only added 1,250 BOE a day of production for 2021 and projected $12 million in funds from operations, but it has significantly increased the quality and the depth of opportunities available to us to further enhance our U.S. portfolio. As we seek to continually position the company in areas that we believe will attract capital through all commodity price cycles. With near-term focus on taking some debt off our balance sheet, we want to position ourselves to be able to do meaningful acquisition work in the future. We were able to take advantage of some of the deal exposure that we saw in Q1 and complete two tuck-in acquisitions, adding additional exposure to the Bakken and Permian basins. These deals totaled about $4.7 million and closed earlier this week. They're estimated to add 75 barrels a day of production in 2021 and will provide additional production growth into next year. We continue to integrate all these U.S. transactions into our portfolio with volumes and funds flow in line or above expectations when we did the transactions. We really feel that the groundwork that we set in 2020 has positioned us for an exciting 2021. As we return to growth projecting a 10% to 15% increase in royalty production year-over-year. With commodity price outlook improving as 2020 progressed, we had a resurgence in drilling on our lands with the 111 gross, 4.9 net wells drilled in Q4. That was more than double our Q3 drilling activity and a 5% increase from the activity we had in Q4 of 2019. So the increase in drilling activity was also accompanied by production recovering in Q4, up 5% over Q3 volumes and averaging 9,563 BOE a day in the quarter. So this strong drilling and production momentum has continued into 2021. And along with the closing of our U.S. royalty acquisitions, we’re increasing our 2021 production guidance to arrange a 10,500 to 11,000 BOE a day. This represents a solid 10% to 15% increase over 2020 average of 9,605 BOE a day. We have considerable optimism heading into 2021, and we'll continue to focus on positioning Freehold to be a premier royalty company, with a strong balance sheet, a sustainable dividend and prospects for growth in top tier oil and gas operating areas. I will now pass the call to Dave Hendry to walk through some of the financial highlights.
Dave Hendry: Thanks Dave. Good morning, everyone. Financially, as commodity prices improved over the quarter, Freehold continue to deliver on the core aspects of its return proposition, providing a meaningful dividend while providing investors with a lower risk investment, differentiating itself from traditional oil and gas E&P companies. Royalty and other revenue totaled $90 million for 2020, down 36% versus the same period last year. In the fourth quarter, Freehold generated $25.8 million in royalty and other revenue, up 11% versus Q3 2020, reflecting improved liquids and natural gas pricing and growing production volumes. For 2020, funds from operations totaled $72.9 million, a 38% decline versus 2019, reflecting weakness in crude oil prices associated with the COVID-19 pandemic. Funds from operations for Q4 2020 totaled $22.1 million or $0.19 per share, up 11% versus the previous quarter. Freehold dividend payout totaled 54% for 2020 versus 63% during 2019. The dividend payout was below our outlined range of 60% to 80%, reflecting better than forecast production and commodity prices during the second half of 2020. Our payout on a dividend paid basis was 24% in Q4 2020, down from 61% during Q4 2019. As previously mentioned, we increased our monthly dividends for 2021 from $0.02 per share to $0.03 per share, reflecting a measured response to an improved commodity price outlook and expected increase in third-party spending on our royalty lands in 2021. Fur 2020 cash costs totaled $4.63 per boe, down 13% year-over-year and represented an all time low for Freehold. This strong result reflected reduced G&A, financing and operating cost charges. Over the year, we executed upon a number of cost saving measures, which have improved our netback and profitability. Cash cost for the fourth quarter totaled $4.11 per boe, down 19% versus the same period last year. Our 2021 U.S. acquisitions are expected to only add a marginal amount of G&A, which should continue to improve our corporate cost base and netback. Net debt totaled $65.8 million at December 31, 2020, representing 0.9 times net debt to funds flow from operations and a $15.9 million reduction from Q3 2020, the decrease in net debt quarter-over-quarter reflected stronger funds flow from operations alongside a lower dividend payout. Freehold’s prudent strategy of maintaining long-term debt of funds flow from operations below 1.5 times, alongside a longer-term dividend payout target range of 60% to 80% of funds flow from operations, provides cushion for potential volatility and commodities. Debt only increased slightly early in the New Year, as a majority of our recent U.S. acquisition was financed by the very successful subscription receipt issuance in December of 2020. As the acquisition didn't close until early January, 2021, the subscription receipts were reported as a current liability at year end before their conversion to equity in January. Regarding the Canada revenue agency reassessments, amounts are consistent with those reported last quarter, Freehold’s corporate income tax filings for 2015, 2018 and 2019 were reassessed by the CRA in 2020. Pursuant to these reassessments, deductions of $92.6 million of non-capital losses by Freehold were denied resulting in reassess taxes, interest and penalties totaling $29.3 million, in addition to a denial of $129.9 million of carry-forward non-capital losses. Freehold has filed its objection of the reassessments, which required a deposit of totaling $14.7 million that has been paid to the CRA during the third quarter. For the 2020 tax year, Freehold estimated it has sufficient other taxable deductions and doesn't expect to utilize reassessed non-capital losses. And on this basis, does not expect the reassessment of its 2020 Canadian corporate income tax filings. Freehold has received legal advice that it should be entitled to deduct the non-capital losses, and as such, management remains of the opinion that all tax filings to date have been filed correctly, and it expects to be successful in its objection of these reassessments and therefore the deposits paid to the CRA should be refunded with interest. Freehold anticipates the proceeding through the CRA could take approximately one year to resolve. Furthermore, the payment of these deposits does not currently impact Freehold’s earnings or funds flow from operations or net debt. Now back to Dave Spyker for his final remarks.
David Spyker: Thanks Dave. So yes, looking forward we are very enthusiastic about the next 12 months of operations. We witnessed a steady trending up of capital and production volumes at our lands both in Canada and the U.S. And the current commodity price levels, our high royalty margins offer significant option value to provide returns to our shareholders. With today's increase to our 0.21 monthly dividend, we highlight this is the second time in the past four months that we've revised our 2021 payout upwards. In the royalty acquisition that we announced in November was a key milestone for Freehold and it marked the first material transaction within the U.S. We see the deal as both enhancing the growth profile of the company, while providing for the sustainability of our dividend, which has been reiterated by the highlights of yesterday's results. So moving forward, we’ll continue to provide significant free cash flow for our shareholders with a focus on maximizing return through further increases to our dividend, through value enhancing acquisitions or reducing our leverage. I'll now pass the call to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Jeremy McCrea. Please go ahead.
Jeremy McCrea: Yes, hi guys. This question is obviously more for David here. Just with almost you being in the position now for a year and somewhat high-level as well too. How are you guys looking at leverage post-COVID down? Just in terms of – is there more focus to repay debt almost to nothing, is it more dividend increased used for? I just wanted to kind of understand how you're viewing leverage differently nowadays. And then just as a follow-up question, just with the U.S. acquisitions, how – like how do you see those going forward here? Where does the company look like five years from now in terms of the amount of U.S. activity and then just given your comfort here now that you've seen a good couple of months of activity on those lines.
David Spyker: Yes. Thanks, Jeremy. First off, we've got a pretty simple business model it costs about $50 million per year to run our business. And then after that, we generate a lot of free cash flow and the three places that we can allocate that, we can allocate it to dividends, we can allocate it to paying down debt or we can allocate it to acquisitions. And so right now, what we've allocated is at $43 million in net cash flow is going to be paid to dividends. As Dave mentioned, we've got $66 million in net debt at year end. And what we'd like to do is just allocate some free cash flow just to further reduce that debt level. And really what we want to do is free up capacity to do meaningful acquisition work going forward. And I mean the years that I've been here, I've never seen much opportunity for deal flow. The stepping down to the U.S. has really opened up a lot of opportunities for us. And we've identified a number of areas in the Permian, in the Eagle Ford, in the Bakken, where we think that are just really core assets, that if we can add those into our portfolio, it's going to give us long-term line of sight to additional drilling and production growth from those assets. So we see this as an opportunity to if we can delever a little bit to free up some cash to continue to add quality acres to our portfolio. And that's having a solid – rock solid portfolio, so it’s going to give us that sustainability long-term. And I don't think we really have a target as far as how much acquisition work we do in Canada versus the U.S., it's really opportunity driven. And – but – so we see opportunities on both sides of the border, both on the oil side and gas side, but we do see this with the amount of deal flow, we're seeing, we want to be able to participate that just really to build up the underlying quality of the assets that we have in the company.
Jeremy McCrea: Okay. And just, how do you – like, how are you guys competing against other some of the U.S. royalty companies? Like, is there – like, do you guys have a bit of a unique edge that – or maybe some of the constraints that some of the U.S. guys are facing? Like how are you able to win some of these deals?
David Spyker: Yes. I think we're competitive, we've shown that we're competitive down there. And I think that one of the reasons that we can be competitive is that, we've got a really, really strong technical team here that's focused on acquisition work, every deal we look at, we look from a grounds up, bottoms up basis. And so I think that we can compete just from a technical perspective of how we see those lands they developed. We can be a little bit more confident in some of the development activity going forward projected on those lands. So I think that's our edge, just technical work and quality of evaluation of work.
Jeremy McCrea: Okay. Thanks guys. Appreciate it.
Operator: Thank you. A following question is from Aaron Bilkoski. Please go ahead.
Aaron Bilkoski: Hey, good morning guys.
David Spyker: Good morning, Aaron. How are you doing?
Aaron Bilkoski: Good. Thanks. So in the MD&A, you talked about retaining financial flexibility to pursue M&A and the consideration for setting the dividend below the 60% payout range. And as I looked in the presentation on Page four of your slide deck you talked about 50% of free cash flow being available for M&A. I guess my question is, does this mark a subtle change in the payout policy? Should we be thinking about a payout ratio of 60% of pre-cash flow net of let’s say minor tuck-in acquisitions? I asked because it's my impression that 60% of free cash flow went to equity holders in the form of the dividends and the remaining 40% was used for M&A or debt reduction.
David Spyker: Yes. The objective of the 60% to 80% payout ratio remains intact. It's just the pace of which we're going to get there. And so, we're taking a measured approach to that and I think we see an opportunity first off you talked about just the free up pay down a little bit more debt and focus on acquisition work. But I think one of the things that we're looking at is, with reviewing our dividends quarterly, we can look at – get some comfort in where commodity prices are, get some comfort in what we see on the horizon for acquisitions, just to make sure that our debt is in check and then make another measured move. So this measured approach that we want to take rather than a quick ramp up, and then be exposing ourselves to potential to reduce the dividend, if the business changes again quickly. So the strategy remains intact, we're going to work our way up to the 60% to 80% payout ratio. We have been messaging for awhile now that, we think that we're going to be on the lower end of that payout ratio, given the opportunity set that we see in front of us to continue to make the company better.
Aaron Bilkoski: Thanks. Just poking a little bit further on that. So if the dividend will be reviewed in Q1, you'll have spent half the year with the payout ratio, that's significantly below your target range. Do you foresee Freehold paying out 60% of free cash flow in 2021? And I asked because to get to that point, and it would imply a large arguably unsustainable increase later in the year.
David Spyker: Yes. I don't think we really are looking at it as a kind of having to catch up. We're looking at more of run rates dividend. And so, that dividend is going to move up as we feel it's appropriate. But we're not going to look back and say, what do we have to do to increase to balance out 60% a year, it's more a run rate going forward as we ensure way up.
Aaron Bilkoski: Okay. I have more couple more questions, if that's okay. On one hand, you're talking about sort of a measured approach to the dividend because of potential oil price risk as you talk about supply and demand balance continues to be tenuous. Yet on the other hand, you're pretty excited about acquisitions and you aren't heading future production, which I guess leads to two questions. Firstly, I'm curious in general terms, what price deck you're using to sort of evaluate and underwrite future M&A opportunities? Are you finding attractive opportunities at $50 WTI or using something closer to the strip?
David Spyker: Yes, it's been a bit of a challenge with the price moving so rapidly, I don't think any of us had anticipated that the move yesterday by OPEC+ and subsequent price jump there. But when we're looking at acquisitions, our first foray is, what does it look like on, on strip pricing. And then, from there, we back it down and with the $55 flat price, we test it there, test it at $50 and see what makes sense. And one of the things that, we've done a lot of acquisition work look back and as a testament to the quality of the technical work. We've always nailed the production profile that comes out of there in the drilling activity, we're pretty good at that. But I think like most of us in the past – it's hard to predict price. And so when we do our acquisition work, being a little bit more conservative on the price deck that we're using. And we think that there's still ability to do some very high quality acquisitions at a very attractive rate of returns, like pricing well below strip pricing right now.
Aaron Bilkoski: Thanks. I guess that leads me to my next question. It's on hedging. So right now, you can lock in WTI over, I guess through 2022 at somewhere around $60. Has your view on hedging at the corporate level changed at all since you've, I guess, taken over or since this commodity price sort of rally has taken place?
David Spyker: No, we don't – the beauty of our business is that, we have no capital obligation, so it cost us about $50 million to run our business. After that, it's just a pure free cash flow. So it's not as if we have to fund a drilling program or to maintain our production or have a risk to be put on notice by somebody to do a drilling or have some operational costs – unexpected operational costs. So we think that our business as it is because we don't have those capital costs, isn't a business that we need to hedge. And that one of the reasons that shareholders participate in the business is that ability to participate in commodity price moves, knowing that there's no capital commitments in the company. So we think that with the dividend policy of paying out 60% of our cash flow, the 80% that we've got flexibility in there to run our business very effectively without having to hedge.
Aaron Bilkoski: Okay. Thanks. And one final question for me, if we think about sort of the production added from new wells in 2021, roughly what portion of that do you think is going to be coming from Canada and what portion would be coming from the United States?
David Spyker: Let me have Rob King answer that question, he's much more familiar with exactly where your modeling is.
Rob King: Yes. Hi Aaron, so on the production forecast, we have 10,500 to 11,000 BOEs a day forecasted now for 2021. Of that about 1,250 is from U.S., that's an increase from when we announced our U.S. acquisition in November, we had about 1,150 barrels a day expected for 2021. So a combination of a better commodity pricing, as well as quite a bit more active rig activity has caused us to have more constructive view on near-term production growth on our U.S. assets. On the Canadian side, we've embedded in about just a little bit over 15 net wells in Canada. So that was sort of add in the range of about 700 barrels a day, 900 barrels a day of new production within Canada.
Aaron Bilkoski: Okay. Thank you very much, guys. That's it for me.
David Spyker: Thanks Aaron.
Operator: Thank you. [Operator Instructions] Our following question is from Zay. Please go ahead.
Unidentified Analyst: Hi folks. Congrats on the quarter. The U.S. royalty acquisition I thought was very well timed, especially given where prices are today. I was wondering why you decided to use so much equity in the acquisition, not just the revolver, maybe break the payments into milestones or something like that?
Dave Hendry: Hi, Zay. It’s Dave Hendry here. We like to keep our capital structure flexible and at the time, we obviously weren't expecting prices to be where they are today. But that said, our target always is to maintain a debt level below one and a half times FFO. And so even where you can see where it is at year-end is we’re at the one times level currently. And so we look at acquisitions and we want to be mindful about the flexibility. And because if you do it all on debt as well, that sort of limits your flexibility going forward. So it was about looking at it and the issuing equity, we reviewed it, it was accretive and allowed us to execute a deal and not overburden the balance sheet with debt which is sort of against what we hear back from our investors, as far as they liked something with a managed risk profile. So we balanced that out and decided to issue equity, but you may have noted as well, is that the acquisition was around $74 million and the equity raise was about $60 million. So we did layer in a good portion of debt with that deal anyways.
David Spyker: Further to Dave's point there is that the time, strip pricing in late November, when we did that deal, you didn't have oil about $50 until late 2020. So the environment is significantly changed. And so I think if we knew where prices were going to go to where they are today. Then maybe we would have took on a little more debt. But at the time, we thought that was a prudent approach, and we're happy that we were able to get that deal in the door during that price cycle.
Unidentified Analyst: Got you. And I mean, just I remember hearing a 15% sort of IRR – mid double-digit sort of IRR target or hurdle for acquisitions. So just given what the other caller mentioned earlier, just about using $50 or something more conservative than today's prices. I'd imagine the space has become way more competitive in terms of acquisitions now. So are you still sort of targeting that return or are you looking at on an accretion metrics sort of perspective, just tell me a little bit more about how you're thinking about U.S. or acquisitions going forward?
Rob King: Yes, it's Rob speaking. So that's still – that's probably, I would argue at the lower end of our return expectations when we're thinking about other opportunities that we're adding to our portfolio. Just to put it in context for the two small tuck-in transactions that we added in, so far in Q1, just under $5 million, those each had IRRs that are north of 20%, and free cash flow yields that were north of 20%. So we're still able to be transacting on opportunities in this current commodity price environment. Agree, there's a lot of competition, but there's also a lot of opportunities, when I think about the number of transactions our team reviewed in January and February, we looked at about a dozen opportunities transacted on two of them. We're looking at, right now in the hopper, there's north of 15 opportunities that we're looking at. So there's a lot – there is certainly a lot of competition, but there's a lot of opportunities as well.
Unidentified Analyst: Right. Thanks for that. And then just lastly, will you be breaking out the U.S. and Canadian production now that the acquisition is closed?
Rob King: Yes, I would anticipate, we would be breaking out U.S. versus Canadian production. We certainly able to provide that in our guidance for this year and that'll be the intent going forward.
Unidentified Analyst: All right, thanks. That’s all the questions for me.
Operator: Thank you. We have no further questions registered at this time. I would now like to turn the meeting back over to Mr. Spyker.
David Spyker: Thank you everybody for participating this morning and say, just want to reiterate, how happy we are with the quarter and our optimism for the year ahead. So thanks for your participation today.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.